Operator: Good morning, and welcome to Malibu Boats Conference Call to Discuss Third Quarter Fiscal Year 2023 results. At this time all participants are in a listen-only mode. [Operator Instructions] Please be advised that reproduction of this call in whole or in part is not permitted without written authorization of Malibu Boats. And as a reminder, today’s call is being recorded. On this call today from management are Mr. Jack Springer, Chief Executive Officer; and Mr. David Black, Interim Chief Financial Officer; and Mr. Ritchie Anderson, Chief Operating Officer; and Mr. Wayne Wilson, Advisor. I will now turn the call over to Mr. Wilson to get it started. Please go ahead, sir.
Wayne Wilson: Good morning, everyone. Before I turn the call over to David, I'd like to take a moment and thank the entire Malibu team for their commitment, dedication over my nearly 14-year tenure. It's been an honor to work alongside each and every one of you during our incredible transformation. We've accomplished a tremendous amount, and I leave proud of what we have accomplished. More importantly, I look forward to watching the continued success of Malibu and leave knowing that our talented team remains incredibly well positioned to expand our leadership as the premier recreational boats manufacturer. I will now hand it over to the capable hands of our new interim CFO, David Black.
David Black: Thank you, Wayne, and good morning, everyone. On the call, Jack will provide commentary on the business, and I will discuss our fiscal third quarter 2023 financials. We will then open the call up for questions. A press release covering the Company's fiscal third quarter 2023 results was issued today, and a copy of that press release can be found on the Investor Relations section on the Company's website. I also want to remind everyone that management's remarks on this call may contain certain forward-looking statements including predictions, expectations, estimates or other information that might be considered forward-looking, and the actual results could differ materially from those projected on today's call. You should not place undue reliance on these forward-looking statements, which speak only as of today, and the Company undertakes no obligation to update them for any new information or future events. Factors that might affect future results are discussed in our filings with the SEC, and we encourage you to review our SEC filings for a more detailed description of these risk factors. Please also note that we will be referring to certain non-GAAP financial measures on today's call, such as adjusted EBITDA, adjusted EBITDA margin, adjusted fully distributed net income and adjusted fully distributed net income per share. Reconciliations of these non-GAAP financial measures to GAAP financial measures are included in our earnings release. I will now turn the call over to Jack.
Jack Springer: Thank you, David, and thank you all for joining the call. Before we begin, I wanted to acknowledge that this will be Wayne's final earnings call for MBI. For nearly 14 years, Wayne has played an integral role in executing our strategic vision, while at the same time, supporting our tremendous growth. He will be deeply missed, but he has built a strong team around him. And as David leads on an interim basis, I have the utmost confidence in our team's ability to navigate the ship and continue to deliver the results that our stakeholders have come to expect. On behalf of everyone at Malibu, we wish him the best during this next stage of his career. Turning to the third quarter, we extended our strong track record of performance, delivering another record for sales despite modest margin pressures as volumes and inventories normalize within our Freshwater brands. While the macroeconomic environment continues to evolve and create uncertainty, we remain very confident in our ability to execute and match wholesale to retail demand. During the quarter, we have seen steady improvements in lingering supply chain disruptions and resilient demand in our Saltwater segment, all while continuing to make great strides in improving our pace of production and normalizing dealer inventories. Our team knows how to dodge and weave in any environment, and this quarter was no different. We have a clear strategy which we are executing. And while the waters may be choppy at times, we are in a unique position to advance our innovation, increase our capacity and deliver on our vertical integration initiatives. For the third fiscal quarter, we posted net record sales of $375 million, increasing 9% over the prior year with adjusted EBITDA of $79.3 million and net income of $53.5 million. As expected during the quarter, we have seen a softening of volumes within our higher-margin Malibu Access segment as channel inventories reach the correct balance. As a result, gross margin declined 190 basis points to 26.3%, while adjusted EBITDA margin declined 210 basis points to 21.1%. Channel inventories for Malibu in particular are ahead of schedule, while Cobalt is not far behind. However, despite the progress we have made filling our Freshwater channels, the upcoming launch of our new model year lineup is on the way and dealers are standing ready heading into the prime selling season. Meanwhile, demand within our Saltwater segment has been exceptionally strong throughout the monsoon season, reaching peak levels for the larger shows. Pursuit had historic boat show performance across the board from our shows at Fort Lauderdale in November to Palm Beach in April. This also includes superb shows in New York, Miami and Atlantic City. Cobia and Pathfinder also had strong showings supporting our leadership position in this growing segment. Dealers remain quite optimistic in this category, and we have additional room to fill this channel heading into the first half of fiscal '24. Overall, compared to our Freshwater brands, our Saltwater brands stand several weeks behind the Freshwater segment in reaching normalized inventory levels. Given the strong pent-up demand, Pursuit has the most room to grow followed by Cobia, while our Pathfinder brand is closer to being at optimum channel inventory levels. Further to my point about Pursuit's growth profile, we have not yet begun to see the replacement of boats related to Hurricane Ian. Many of our dealers believe this will be very significant as it has been estimated that 15,000 boats were totaled as a result of the hurricane. While the timing of this replacement cycle remains uncertain, we stand ready to fulfill these orders. The next few weeks through the quarter will be important to fully understand what retail demand is and will be through the summer. Weather has been a headwind to this point due to a cool spring and lots of precipitation. We have just begun hearing from dealers that the weather pattern is alleviating, and we are beginning to see warm weather, the warm weather needed to drive retail. Our success over the years has been driven not only by our leadership in the market but also our commitment to investing in the business, either organically or through acquisitions. A prime example of the tremendous progress we have made with the acquisition of the Maverick Boat Group of brands and our successful facility expansion there. NBG is running at a ramped-up pace and showcasing our tried-and-true model of integrating premium brands within our industry-leading operations. Today is no different. We continue to have our foot on the gas from a strategic growth standpoint. At MBI, we are constantly looking for ways to increase our manufacturing capacity, expand our vertical integration footprint, grow our distribution network and bring key capabilities in-house. I am excited to speak to some transformative new developments. I will begin with a successful build out of 100,000 square-foot plus new tooling plant on available Pursuit property. On March 1, we officially launched our tooling design center or TDC. The TDC is a very large vertical integration initiative that will first focus on Pursuit and the tooling needs there. This has been a huge endeavor and part of our multiyear plan to bring our product tooling in-house. We are very excited about the potential this brings to MBI as we look to better control capital expenditures, improve our tooling quality and increase volumes. We have a strong team in place there to lead the charge and plan to start expanding our tooling capabilities for Pursuit with the ultimate goal of eventually building the majority of all tooling for all MBI brands. Secondly, we recently filed an 8-K for the purchase of property with plans to build out a 260,000-plus square foot facility, which is strategically located near our MBI headquarters in Tennessee. This facility gives us added capacity and flexibility to grow in line with the long-term market opportunities ahead. We always want to be in the best position to have adequate capacity for growth, whether growth through our existing brands or diversifying our mix into other high-growth segments such as greenfielding into pontoons, this purchase does just that, providing us with premium optionality for expansion wherever the tide turns. And another very exciting development and one that many of you have asked about over the years, starting in the first quarter of fiscal 2024, we will begin offering monsoon sterndrive engines to our Cobalt dealers and customers. As we move into the second half of fiscal 2024, we plan to continue the rollout of our Monsoon engines in the Cobalt surf boats. As we scale this over the next few years, we believe this move has the potential to further enhance our strong EBITDA margin profile and generate a triple-digit return on investment. Comprehensively, we have kept our hand on the throttle and continue to adapt and well -- adapt well in a tide-turning market environment. Our operational excellence and vertically integrated model have cemented our strong footing as the premier recreational boats manufacturer. We look forward to delivering another successful year. And as we look across the horizon, I am confident in the steps we have taken to pave the way for the next leg of our growth. With that, I will now turn the call over to David to take you through our financial performance in more detail.
David Black: Thanks, Jack. In the third quarter, net sales increased 9% to a record of $375.1 million and unit volumes increased 2.9% to 2,637 boats. The increase in net sales was driven primarily by increased unit volumes for our Saltwater Fishing and Cobalt segments, year-over-year price increases and a favorable model mix. The Malibu and Axis brands represented approximately 50.7% of unit sales or 1,338 boats. Saltwater Fishing represented 27.2% or 718 boats, and Cobalt made up the remaining 22.1% or 581 boats. Consolidated net sales per unit increased 5.9% to $142,252 per unit, primarily driven by increased greater mix of larger boats for Malibu and Cobalt segments and year-over-year price increases. Gross profit increased 1.5% to $98.6 million, and gross margin was 26.3%, this compares to a gross margin of 28.2% in the prior year period. The decrease in gross margin was driven primarily by decreased mix of our higher-margin Malibu segment and increased dealer flooring costs. Selling and marketing expenses increased 6% or $0.4 million in the third quarter. As a percentage of sales, selling and marketing expenses decreased by 10 basis points over the prior year period. General and administrative expenses increased 13.6% or $2.3 million in the third quarter. The increase was driven primarily by an increase in compensation and personnel-related expenses along with an increase in professional fees and increased travel-related expenses. As a percentage of sales, selling and administrative and general and administrative expenses increased 20 basis points to 5.2% compared to 5.0% for the prior year period. Net income for the quarter decreased 2.5% to $53.5 million, adjusted EBITDA for the quarter decreased 0.6% to $79.3 million, and adjusted EBITDA margin decreased 210 basis points to 21.1%. Non-GAAP adjusted fully distributed net income per share decreased 0.8% to $2.59 per share. This is calculated using a normalized C corp tax rate of 24.3% and fully distributed weighted average share count of approximately 21.3 million shares. For a reconciliation of adjusted EBITDA and adjusted fully distributed net income per share to GAAP metrics, please see the tables in our earnings release. This quarter highlighted the strength of our operations team given our strong performance in spite of moderated volumes for our Malibu Axis segment. As expected, channel inventory has reached more normalized levels in the Malibu Axis channel. While we have some runway for continued inventory within our Saltwater segment, we will now focus on expansionary distribution over the coming quarters that has been planned for years post acquisition. With prime selling season coming down the pike and inventory at more normalized levels, we look to maintain our trajectory and deliver a strong close to fiscal year 2023. Based on our current operating plan, our expectations for fiscal year '23 are as follows: we anticipate revenue to grow just north of 10% year-over-year and consolidated adjusted EBITDA margin is expected to be down slightly. While we look forward to delivering another successful fiscal year, we are even more excited about what the future holds. As Jack mentioned earlier, we announced three new major initiatives, two of which represent the next phase of our vertical integration strategy. These initiatives are indicative of how we position MBI to outperform over the long term by utilizing our scale and experienced team in high ROI projects that are unique to our business. These vertically integrated initiatives are why we continue leading the way as the premier recreational boats manufacturer, and I look forward to working with our best-in-class team to execute in the coming quarters and years. With that, I'd like to open the call up for questions.
Operator: [Operator Instructions] Our first question comes from Jaime Katz with Morningstar.
Jaime Katz: Thank you for your contributions, Wayne. I'm hoping you guys can talk a little bit about how you think the profitability in Saltwater can change over time. So in the near term, we're looking at a higher mix of Saltwater relative to the past. But it looks like the EBITDA margin will be improving despite sales declining maybe in the fourth quarter. But can you talk a little bit about how that shakes out over both the near term and the longer term because it would seem like the Saltwater segment becoming a bigger percentage of the mix might actually be a bit of a drag on the overall EBITDA margins?
Jack Springer: Yes, Jaime, that is the fact, and it's really the evolution. We've seen it with everything that we've acquired. One of the things that we've absolutely seen over time is that Malibu Axis back in '14, '17, whenever we made our acquisitions, we had a high EBITDA percentage. So our margins were very high, the highest in the industry. So each of the acquisitions that we've made beginning with Cobalt has brought down that comprehensive EBITDA margin because you're dealing with lower EBITDA margins with the acquisitive brands and then we start building them back up. One of the things we've talked about is in the first two years. Cobalt doubled its EBITDA, and so we were driving that margin. A very similar thing has happened twice now with the acquisition of Pursuit in '18 and the acquisition of NBG in 2020, we had -- we began with a basis of much lower margins. We've seen those margins increase. We've seen some of that out of Pursuit and they continue to grow. So if you think about it, in the short term, we've seen that growth, but it's still well behind what a Malibu is or even what a Cobalt is at this point. But it is growing in the long term, we expect to eventually be able to take all of our brands into that 20% EBITDA margin threshold. It's going to take -- with the Saltwater, it will take a few years, two, three years to get to that point. But we fully expect to be there. And that's where we'll get primarily the greatest benefit in margin uplift from that Saltwater side.
Jaime Katz: Yes. I guess I was just surprised that given the strength in Saltwater, we -- it looks like we should maybe have EBITDA margins up year-over-year in the fourth quarter. The other question I had was on dealer profitability. And I think in prior quarters, you guys have talked about dealers sort of walking away with optimal profitability and maybe that needs to seed a little bit now that the environment is changing. Can you talk about maybe how that has changed over the last quarter and the willingness of dealers to maybe moderate their profit per unit to facilitate faster turns?
Jack Springer: Yes. I think it's adjusting without a doubt. Coming out of COVID, there was that overhang of keeping margins high. We've addressed it with the dealers, and I was pretty vocal about it last quarter. We -- it is adjusting. Is it where it needs to be yet? No. And I think Wells Fargo will tell you the same thing across the entire spectrum of marine. But one of the situations or realistic events that's going to occur is we're about to go into a heavy selling season. And we have inventories that, at least on the Freshwater side, are approaching normality and then they're building on that Saltwater side. It is going to be a much more competitive environment. And the message that we're delivering to our dealers is, the dealers that are going to win are the dealers that are very aggressive in their marketing and lead follow-up and also very aggressive in their pricing, unwilling to lose deals. And we have seen a moderation in that holding that high margin, not where we want it to be yet in some of our brands, but I think it will get there.
Operator: The next question comes from Joe Altobello with Raymond James.
Martin Mitela: This is Martin on for Joe. Jack, can you help us square your shipments for the quarter with the soft SSI data we've seen so far? And how do you feel about dealer inventory across your different brands?
Jack Springer: Okay. Would you repeat the first question, please?
Martin Mitela: Yes, absolutely. Can you help us square your shipments for the quarter with the soft SSI data that we've been seeing?
Jack Springer: Okay. I think you have to take a step back, you have to understand where we're coming out of. You had -- you have a retail environment that has been very low on inventory. And it's a really easy arithmetic equation in terms of -- you know that your inventories are down, you have to build that retail inventory out by shipping wholesale. And it plays into your second question, but what you've been doing is playing catch up now for the last, call it, 30 months of trying to get enough inventory in the channel. We're largely there, I think, on the Freshwater brands, which will be Malibu and Cobalt. We are not there yet on the Saltwater, which will be Pursuit and Cobia. But the way that it squares, frankly, is you have -- number one, you're coming out of an environment where your comps last year were out of sight. And you're not going to -- and we warned against this, you are not going to touch the comps that existed last year. They -- once we get into the second half of the year, it's going to get easier because you saw those comps come down some. But the comps are the big thing, number one. Number two, the wholesale retail squaring has to do with the channel inventory. We have to put more inventory in the channel to realize the retail that we want to. Moving to the second part of the question, we're -- as it relates to channel inventories, Malibu is right where it needs to be in terms of what the historical norms have been in the channel. Cobalt is slightly behind. But we think that certainly by the end of this fiscal year, it will be caught up. And then there -- in the case of Pursuit and Cobia, they are a few weeks behind what Malibu and Cobalt are. And our expectation is that the channel inventories will normalize in the first half of 2024.
Martin Mitela: Got it. And you mentioned the opportunity to expand distribution for Pursuit and Maverick. Can you give us an idea of what the rough magnitude of that looks like?
Jack Springer: Yes. If you think -- and I'm going to talk about it geographically for a second. And it's really kind of on the Pursuit side, the Cobia side, but I'm going to also touch on Cobalt. On the Pursuit and the Cobia side, if you think about those two brands and entities, they are largely heavily focused on the Southeast and the Northeast, have some presence in the Mid-Atlantic, have a little bit of presence in the Great Lakes region, but that's really about it. If you look at a Pursuit dealer basis around 35, there is a lot of opportunity for growth, especially when you compare against their two major competitors. Cobia and Pathfinder are very much the same scenario in the ability to fill out the Mid-Atlantic fill out, the Great Lakes and then start that process of moving west. And so over time, they're not going to be huge dealers because from a Saltwater standpoint, you have that in Florida. But there can be a lot of volume, improving that Pursuit network to 45 or 50 over the coming, call it, year to 18 months, improving Pathfinder by 15 to 20 dealers over time. Cobia, a very similar scenario. So that's where, on the Saltwater, our focus is. We think we have a lot of opportunity to increase the number of dealers and by virtue of that, increase the amount of volume going out. We also have an opportunity with Cobalt. Cobalt, we have a limited number today of Saltwater dealers because we've been confined on the number of boats that we've been able to build over time. And so we have a target list of additional outboard dealers that we are working on right now, and we would expect to come to provision in the next three to six months.
Operator: Next question comes from Griffin Brian with D.A. Davidson.
Griffin Bryan: This is Griffin on for Brandon. I guess my first question, in terms of cadence of the quarter, do you guys see any slowdown of retail later in the quarter and then maybe how that trended in April? I mean it sounds like Saltwater Fishing is doing well, but curious how other brands and categories trended?
Jack Springer: I wouldn't say we saw a slowdown in the quarter. I will benchmark it against, call it, the last six, seven years of time. I think more than anything, what we've seen is a delay in the season kicking off because of the cool weather and because of the precipitation. My belief is that over the next, call it, to the end of our fiscal year, but certainly through the end of June, we're going to have a much, much better understanding of what that retail environment is going to look like because we're going to have a weather pattern that is actually helping us instead of hindering us.
Griffin Bryan: Okay. That's helpful. And I guess with the increased sales guidance, can you kind of unpack what's embedded in that? Is a lot of that -- the outperformance related to the boat shows? Or are you guys seeing stronger retail performance at dealers outside of the shows?
Jack Springer: I think it's a little bit of a combination of both. I mean, certainly, on the Saltwater side, you had the growth in the boat shows that we talked about. So those are customers that have placed retail sold orders. So we're seeing a little bit of that. I would classify that from a retail on the Freshwater side, it's been pretty consistent throughout the first half of the calendar year, not a lot of growth at all. It's more of a flattish in nature. And again, I think that comes back to a little bit of the weather that we're dealing with.
Operator: Next question comes from Eric Wold with B. Riley Securities.
Eric Wold: A couple of questions. I guess, first off, on the new real estate purchase. I know it's early, but maybe any sense of a time line of when you think a decision might be made on a direction for that and kind of the earliest of when we might see kind of second part of that when I see construction of any new facility. How far out might that look?
Jack Springer: So just to put a little bit more, a finer point on it, Eric, is the facility is already going up. So we're buying a land in a facility that was already in the design phases and started going up. So that will come to bear very quickly in terms of it will be this calendar year that we will take possession of that. Next quarter, I'll be more probably forthcoming in terms of what we're going to do with that. And there's some combinations. Certainly, it's around capacity. We've talked a lot about we always want to have 20% to 25% capacity for every single one of our brands to run a one-shift operation because we strongly believe in the one-shift operation. And then secondly, I've stated for a number of quarters, we are going to be in pontoon. So if there's not an acquisition to be made, then we will greenfield pontoons. But both of those will be coming over the next, call it, a couple of quarters.
Eric Wold: Got it. And then same question. I know you're not giving fiscal '24 guidance at this point, but how do we think about the drivers that would underline that? Clearly, with Malibu Access that kind of optimal inventory, I've seen the driver for theirs, now the longer channel fill or kind of inventory replacement kind of just pure underlying demand come from there. And then what about the other two is, how much of a driver will channel fill new dealer distribution being with other brands versus what you think could be just the underlying retail demand?
Jack Springer: Yes. I think, Eric, several drivers that are going to propel us. We don't know what the economy is going to do. We have to state that upfront. But I talked about the comps in the second half of the year. They're going to be, at least from a year-over-year basis, they're going to be much easier to meet, and that will extend into the second fiscal half of next year as well. There is some channel inventory build we have left on Saltwater. That will be a driver. Not so much on Freshwater. The channel inventory is where it needs to be. New product is always a driver. And you will hear in that next call in August that we continue to be very aggressive on new products across all of our brands and what we're bringing out. And then you touched on this, I think a driver for fiscal year '24 and it will pick up momentum as we go throughout the year is new distribution. And I talked about it a little bit earlier, but on that Pursuit, on that Cobia, on that Pathfinder and Cobalt side of the equation, we will have new distribution that will help be a driver for 2024.
David Black: Yes. And I think just to add there, I think we're going to learn a lot over the next few months, right, as retail comes in. So I think this is going to be a moving target on really what those additional key drivers are going to be in the following year.
Operator: I'm not showing any further questions at this time. I would like to turn the call back over to Jack Springer for any further closing remarks.
Jack Springer: Okay. Thank you very much. In summary, our third quarter results were strong, meeting expectations as we demonstrate the inherent strength and capabilities of our MBI brands. Demand for Saltwater has been robust, and we have capitalized on our historic boat show performance in this segment throughout the boat show season. Our supply chain disruptions have eased, and we have continued to maximize our production capabilities. Meanwhile, Freshwater channel inventory is reaching normalized levels led by our Malibu brands, while inventories for Saltwater will follow and increasing in the channel in the coming months. Our commitment to continued investment in the business and growth is unwavering, and we are extremely excited to execute on our next phase of vertical integration plans as we bring tooling in-house, and expand our Monsoon engines to Cobalt as well as add additional capacity for growth. We are well positioned to deliver value to all of our stakeholders, and we remain confident in our ability to execute for the remainder of fiscal year 2023. As always, I want to thank you for your support and for joining us as we look to deliver on our strategic objectives and continue to grow our leading brands throughout the remainder of 2023 and into 2024. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may all now disconnect.